Operator: Good day, ladies and gentlemen, and welcome to the Fourth Quarter 2018 Avangrid Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] It is now my pleasure to turn the call over to Patricia Cosgel, Vice President, Investor Relations. Please go ahead.
Patricia Cosgel: Thank you, Andrew, and good morning to everyone. Thank you for joining us to discuss Avangrid’s fourth quarter 2018 earnings results. Presenting on the call today are Jim Torgerson, our Chief Executive Officer; and Doug Stuver, our Chief Financial Officer. A team of Avangrid officers will also be participating on the call to answer your questions. If you do not have a copy of our press release or presentation for today’s call, they are available on our website at www.avangrid.com. During today’s call, we will make various forward-looking statements within the meaning of the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995 based on current expectations and assumptions, which are subject to risks and uncertainties. Actual results could differ materially from our forward-looking statements if any of our key assumptions are incorrect or because of other factors discussed in Avangrid’s earnings news release, in the comments made during this conference call, in the Risk Factors section of the accompanying presentation or in our latest reports and filings with the Securities and Exchange Commission, each of which can be found on our website, avangrid.com. We do not undertake any duty to update any forward-looking statement. Today’s presentation also includes references to non-GAAP financial measures. You should refer to information contained in the slides accompanying today’s presentation for definitional information and reconciliations of non-GAAP financial measures to the closest GAAP financial measures. I will now turn the call over to Jim Torgerson.
Jim Torgerson: Thanks, Patricia, and welcome, everybody. 2018 was actually a very good year for us in terms of executing on our strategic plan. Earnings proved to be challenging as some uncontrollable weather events impacted both Renewables and Networks. Let me start with the executing on our strategic plan. We invested $1.7 billion in capital during the year of 2018. We have 594 megawatts of solar and onshore wind long-term contracts that were executed in 2018. We have just under 1 gigawatt, 989 megawatts of onshore wind under construction for our commercial operation in 2019, and we have another 263 megawatts of contracts for our 2020 COD. We’re also looking – continuing to optimize our pipeline. We did that with the sale of 80% of the Coyote Ridge 97 megawatt wind project and we will continue to optimize our pipeline, which now is at 13.8 gigawatts. We’ll continue to do that through the future. We had new rate plans for our both Connecticut Natural Gas and Berkshire Gas, which went into effect in 2019. And we filed a rate case for CMP and expect to file rate cases for both NYSEG and RG&E by the second quarter of 2019. We won two RFPs in Massachusetts for – first the 1200 megawatt New England Clean Energy Connect project and then also the 800 megawatt Vineyard Wind partnership with CIP. Both of those are on track with our projections to be fully developed and operational, and we’d talk about that shortly. And we also completed the sales of Gas Storage non-core business in 2018. Now the results for the fourth quarter showed $0.38 a share and then these are on GAAP basis and net income was $1.92 a share. Adjusted net income for the quarter was $0.56 a share and adjusted net income for the year was $2.21 a share. The quarter was impacted by both weather at Renewables, where we had – the wind resources were down and also the continuation of minor storms. For the year, the impact on Renewables was about $0.10 a share, and for the Networks business, counting all the costs to implement – to take care of these major – minor storms, we had major storms as well, but the minor storms, and these are costs that are significantly above the amounts allowed in rates along with some ancillary costs, and that totaled about $0.14 a share. So those two items cost us about $0.24 a share for the year. Now what we’re doing about it, we looked at the wind forecasting methodology and we’ve moved to a life-to-date average wind resource for each wind farm. Now that is reducing the amount of earnings by about $0.8 a share in our projections for this year. And we also – the impact of a number of unprecedented minor storms, we’re addressing that already in the CMP rate case and we will in New York, mainly through our resiliency plan, but also by actually trying to recover those costs of having people standby and get in line early so that we can address these storms when they come and we can then deal with it. As you know, we’re a public service company. We have an obligation to serve. So we have to make sure we’re taking care of our customers and getting people back online as quickly as possible. And so we have to incur those costs. We’re also very aggressively pursuing best practices and efficiencies. We’ve implemented our forward 2020 plus plan now with a third-party consultant is helping us look at how to get more efficiencies out of the business. We actually did reduce O&M by about $10 million to help mitigate some of the negative impacts we saw in 2018, and the Board did declare a fairly dividend of $0.44 a share at [indiscernible] payable on April 1. Now turning to Page 6. You can see the quarter was $0.38 a share on a GAAP basis and on adjusted earnings were $0.56 a share. Some of the key drivers, and first I want to differentiate between the quarter-over-quarter results and the results versus our expectations. The quarter-over-quarter results were impacted by Networks rate plans positively. We had increases in New York and Connecticut from the multi-year plans, but they were more than offset by impacts of the cost related to minor storms. We had new megawatts in production. We had the sale of development projects, but we also had below normal wind resources and then some discrete tax items. Now versus our expectations, there’s really two events in the quarter; one was the impact of cost related to the minor storms and this also included an adjustment for CAIDI, where we have to – we’ve absorbed a penalty and then the costs. Wherein Maine, we exceeded the Tier 2 limitation of $10 million for minor storms that we had to incur that cost. So those – all those items totaled about $0.5 a share and the below normal wind resource was also about $0.5 a share and the other items you can see offset. We didn’t get the earnings adjustment mechanism in place in 2018 and that will now address that in our rate cases in New York, but we had in our plans to earn about $0.3 a share after that. Turning now to Page 7 for the year results. You can see on a GAAP basis we earned $1.92 a share and on adjusted basis $2.21. Again, the key drivers for the year-over-year results were the Networks rate plans, again the impacts of minor storms, the production and some sales of development project. Versus our expectation, the negative impacts on weather for Renewables were partially offset by some O&M savings and some of the development project sales. But the impacts overall, as I said, we’re $0.14 a share for the Networks business and $0.10 a share for below normal wind resources in Renewables. So that $0.10 and $0.14 are $0.24. The other items you can see on the page, one of the things we had some tax and audit expenses that we incurred to – help to mitigate the material weakness we had. We’ll find out if that’s been done. We are fairly confident it will be by the next week or two when we file our 10-K. And then we did have some O&M efficiencies that totaled about $0.2 a share. Turning to the next page and looking at the capital spending in 2018. Capital spending was $1.7 billion. Renewables capital spending declined compared to 2017 and that was anticipated because of the – we only had one small project of 10 megawatts, a solar project that was COD in 2018 versus the 590 megawatts that were being developed in 2017. Networks capital spending increased compared to 2017, but was slightly lower than expected due to storm related delays. We did pick up quite a bit in the fourth quarter. We were down about $200 million from our anticipated and we ended up being down about $100 million, so we picked up an extra $100 million in the quarter, but you can see the result was about $1.7 billion. Now turning to the next page. You can see our execution of strategy for Networks. Now the NECEC project is moving forward as planned. We did file the rate case for CMP in the fourth quarter and we’ll go through some details of that in a minute. The final rate case decision for our Connecticut National Gas was received in the fourth quarter and Berkshire Gas in the first quarter. The New York companies, the three-year rate period ends this April and we expect to file rate cases by the second quarter that should be effective in May of 2020. We have new rate years in 2019 for our United Illuminating and Southern Connecticut Gas. And we did successfully respond to the unprecedented storms in New York and Maine, getting our customers back and restored as quickly as we possibly could. The new projects and service, we spent $51 million in the Coopers Mills STATCOM and $85 million on the Lewiston Loop transmission. Those were completed in 2018 along with the $39 million LNG modernization in Connecticut. We completed the investments in the Smart Community in Ithaca, New York and the battery storage and electric vehicle pilots in New York. Now we’ll be observing the results of those investments to make decisions on how we move forward with these type of activities. The New York ISO also concluded the New York TransCo AC project was the most efficient cost effective solution for New York. The final determination of that’ll be in March of this year and we’re looking at about $110 million investment as our part of it. We also announced $2.5 billion resiliency plan over 10 years, seeking to approval in Maine and we will seek the approval for that in New York with the rate case. Our $950 million NECEC project is on track. The main certificate of public convenience and necessity, that’s in process and the settlement discussions are ongoing and should be successful. We expect a decision from the Maine Department of Public Service in March and expect the receipt of all project approvals by the end of the year. And on the next slide you can see the schedule we have for the project itself. NECEC, which is the fees for Central Maine Power that we have in the U.S., we’re expecting the state and federal approvals by the end of 2019. Engineering has started. We’ll make an investment in the HVDC converter. What we’ll be doing is contracting for the energy, the engineering to begin. And then once we receive all the approvals, then we’ll go ahead with getting the parts starting to construction. Now the good thing is we can lock into the price now for that and that’s one of the biggest expense items in this project. And then the construction will commence in beginning of 2020. And Québec, you can see the timelines there with the provincial and federal approvals engineering, and again, there are HVDC converter contract and there are construction timeframe. Moving to the next page, you can see the Maine – Central Maine Power rate case. It was filed October 15. We expect a final decision in the fourth quarter of 2019. The one-year revenue increase will be $24 million with no net increase in rates due to some offsets by the tax reform liabilities. The request in Maine was a 10% ROE, 55% of equity with continued decoupling. The initial $16 million capital spending and $5 million for vegetation management are part of our resiliency plan and those are put in that one rate year. The storm costs, we propose the lower than normal storm threshold from a $3.5 million to $1.5 million per event. And this is triggering the charging against the large storm reserve. So that will give us a little more flexibility. And we also included all of the 2017 Tax Act considerations. During the year, with the Maine Public Utilities Commission order found that CMP did act reasonably in its preparation for and response to the major wind and rainstorm in October of 2017. There have been an investigation that had been ongoing for quite a while. And then there was an independent audit of CMP’s new SmartCare customer information, metering and billing system. That was done by Liberty Consulting Group at the direction of the PUC. And they did find that the system and meters were measuring customer usage accurately and appropriate and that all components were collecting and transmitting data accurately. Now the PUC did open a docket to review the audit findings, so they’re technically really doing an audit of that audit. And they did raise some customer communications and service questions by the audit and those will be addressed through the rate case. Now turning to the other jurisdictions. The recent rate cases were settled in Connecticut, and as I said, we’ll file in New York. We expect to file rate cases for NYSEG and RG&E for electricity and gas in the second quarter of 2019. The filing will include the company’s request for resiliency, advanced metering infrastructure, the earnings adjustment mechanism and the resiliency plan for the – and the enhanced cost recovery for storms, including staging costs, which we’re seeing an increase in that, a requirement of stage crews in advance of whether it’s a major or minor storm or no storm exists at all where it comes through. We’re having two stage crews and incur those costs. And those also affect what we’re thinking about for the guidance for this year. In Connecticut, the CNG rate case final decision, we had just about $20 million over the 2019 to 2021 timeframe, 9.3% ROE and then the equity goes up 0.5% a year starting at 54% going up to 55% of the three-year period. And we continued decoupling in the trackers for our system expense and distribution integrity management program. Berkshire got a rate case final decision and we got Berkshire’s small utility about $2.3 million increase in our rate case in 2020 and 2021. 9.7% ROE and 55% equity, and again, decoupling and the tracker and gas system enhancement program. The Tax Act impacts, we’re getting the benefits of the lower tax rates. They’ve been determined in all the regulatory jurisdictions now. And the process for addressing excess deferred tax liabilities has been determined in Connecticut and Massachusetts, and the timing amounts, they’re going to be determined in the upcoming rate cases in Maine and New York. Turning now to Renewables. We’re executing our strategy and addressing the wind performance expectations at the same time. And this really does position us to move forward successfully with our strategic plan. We have 989 megawatts onshore wind under construction with commercial operation in 2018 or 2019 and an additional 263 megawatts in 2020. We added 1 gigawatt of long-term contracts in 2018, including the 400 megawatt offshore wind. We’re optimizing the renewable pipeline with the sale of 80% of the Coyote Ridge 97 megawatt wind project and all of the tax benefits went to the WEC Energy Group, who is now our partner. We’ve adjusted the wind forecast methodology and also added wind boost software for our 1.7 gigawatts in the fourth quarter. And this is to address the recent years of wind performance below expectation. The life-to-date impact is about $0.8 a share, so we’ve actually reduced our expectations by $0.8 a share because of our taking another look at the wind performance and going to a life-to-date rather than the time period we had been utilizing. So that life-to-date impact again is about $0.8 a share. We’re also continuing with the software implementation through additional turbines for this new software. We are awarded REC contracts in 2019 with NYSERDA for wind at 78 megawatts, which will be commercially operated in starting in 2020 and then solar in 2021 for 91 megawatts. The Vineyard Wind partnership with CIP, that’s our offshore wind project for 800 megawatt is on track. The vendor selection, we’ve selected Vestas 9.5 megawatt turbines. There’ll be 84 turbines in the site and we have a preferred supplier agreement, where we’ve selected the offshore substation supplier. And I also want to add that all packages for all suppliers are now in an advanced stage of work. BOEM issued a notice of availability for draft environmental impact statement on December 3 and public meetings were held in February. The final environmental impact report was approved by the Massachusetts Energy Policy Act office and allows the project to proceed with state, regional and local permitting now and we expect receipt of all required project approvals in 2019. Vineyard Wind also was awarded this second Massachusetts offshore lease, which is about 14 miles south of Martha’s Vineyard, 132,000 acres in the auction in December. And you can see our project schedule for Vineyard Wind. We expect the state and federal approvals by the end of 2019, the financing in place in the same time frame, engineering will be done in 2019, and we’re going to award the long lead items this year as well. And then the construction will commence in beginning of 2020. The first 400 megawatts are expected to be operational by the end of 2021 and the next 400 megawatts by 2022. We’re also looking to see if we can accelerate that to get everything in 2021, but that’s still a work in progress. We also, on the next page, show the New York offshore wind RFP. The bid in New York really demonstrate our commitment and the opportunities we see in the emerging and now growing U.S. offshore wind industry. Vineyard Wind submitted a bid in New York’s first offshore wind RFP. And this is our Liberty Wind project. That’s the most recent lease we just acquired in December. So we bid 400 megawatts, 800 megawatts and 1,200 megawatts of proposal. The 1,200-megawatt proposal would be the most cost effective for New York rate payers and be one of the largest offshore wind projects in the world if it’s selected. And the bids include substantial economic development job creation benefits in New York and we actually have the foundation components fabricated at a port facility in the Albany area along the river. Our Liberty Wind’s turbines will be in the offshore, as I said, recently acquired lease and the transmission will tie to existing substation on Long Island delivered by a submarine cable and we’re partnering with Anbaric, who is a transmission developer, who will finance and own the transmission, and we expect the winning bidder to be decided in April of this year. Now turning to Page 16, our outlook. We have – GAAP earnings per share guidance would be to $2.18 to $2.33 and adjusted earnings per share of $2.25 to $2.40. As I said, we specifically looked at our guidance relative to the revised wind resource forecast and that brought it down about $0.08 a share. We’ve also factored in the weather impacts in Renewables for this year already. We’re currently down about 12% in January from weather impact and this is not just wind, but it’s also access to the site, ice on the blades because of the ice storms – ice we’ve had in the Midwest and the Northeast, and then they can’t operate when it’s below the operating range, when the temperatures just drops too low. So we had to shut down some of our wind turbines as well. So that’s been factored in. Along with some of the things in Networks, the requirement now that we lean in and start staging costs for major and minor storms earlier will impact us. Now we will be addressing that as a cost recovery mechanism in our rate request. We already have done that in Maine, we will be doing that in New York and we’ve already implemented some operating improvements, such as having crews. They’re available 365 days, 24 hours a day, seven days a week, so that we can respond more effectively. We’re also looking at the FERC ROE decision, that will have an impact on the timing of capital investments. The PG&E bankruptcy, so far there has been no motion to reject our contracts and our contracts – you can see in the appendix – are actually pretty much in line with market. And one of them actually expired in January. Merchant pricing and RECs will obviously have an impact, and then continuing to look at the potential sale and partnership of development projects in Renewables. Since we have about a 14-gigawatt pipeline, we have the opportunity to optimize that pipeline by bringing in partners or selling projects that we may not develop in the near-term. We’re also, as I said, going to be advancing our Forward 2020 plus plan with the objective to achieve best-in-class status, and we’ve brought in a third-party to work with us in accelerating that process. So with that, I’m going to turn it over to Doug who is going to talk about the financial results.
Doug Stuver: Thank you, Jim. Good morning everyone and thank you for joining us today. I’m now on Slide 18. On this slide, we rolled forward earnings per share from the fourth quarter and full year of 2017 to the same periods in 2018 on a GAAP basis. As you can see, the GAAP EPS amounts showed significant impacts resulting from the sale of the gas storage and trading businesses and the impact of tax reform. In the Renewables segment, we see period-over-period declines of $0.68 per share in the fourth quarter and $0.60 per share for the full year, with these movements largely reflecting the 2017 impacts of tax reform on remeasurement of Renewables deferred tax balances. The Gas segment is showing a $1.53 per share improvement for the fourth quarter roll forward and $1.58 per share for the annual roll forward. That impact is driven mainly by a 2017 loss from remeasurement of these assets when we designated them as held for sale in 2017. We completed the sale of the gas storage and trading businesses in the second quarter of 2018. I’m now on Slide 19. We show our adjusted earnings rolled forwards for the fourth quarter and full year which exclude the gas storage and trading businesses that we exited in 2018, impacts of the 2017 Tax Act, Renewables mark-to-market, restructuring charges and other items. Moving to the chart on this slide, you can see that adjusted EPS declined from $0.61 per share to $0.56 per share when comparing the fourth quarter results, while the full-year results were relatively flat, with 2018 earnings per share at $2.21, and 2017 at $2.20 per share. Both rolled forward comparisons are largely affected by the same earnings drivers. As Jim noted, during the fourth quarter, we continue to have challenging conditions with ongoing storm-related costs in Networks and lower-than-normal wind resource offsetting the period-over-period increases that we experienced from rate plans that United Illuminating, Southern Connecticut Gas, Connecticut Natural Gas and our New York companies as well as the positive impact from new capacity that we added in Renewables in late 2017 and 2018. Lower corporate earnings in the quarter-over-quarter and year-over-year periods primarily related to tax impacts, new debt issued at Avangrid in November of 2017 and the absence of intercompany interest income from the gas businesses in 2018 from their sale earlier that year. Now in the next several slides, I’ll provide more detail on the business segment impact. Starting on Slide 20, this summarizes the results and business drivers for Networks. For the fourth quarter, you can see that results were down quarter-over-quarter by $0.07 to $0.35 per share and down year-over-year by $0.07 to $1.57 per share. We experienced a $0.06 quarter-over-quarter and $0.21 year-over-year benefit due to rate increases in our New York utilities which are in the third rate year that began on May 1 of 2018, and in UI which is in its second rate year, and in SCG which is in its first rate year. For the year-over-year comparison, Networks also experienced the benefit of $0.03 due to over earnings in 2017 that did not recur in 2018. These positive impacts were reduced by non-deferrable minor storms and related costs, which continued through the fourth quarter. Networks experienced a $0.06 loss related to the non-deferrable minor storms and related costs quarter-over-quarter, offsetting the quarterly rate benefits and a $0.15 loss for the year-over-year comparison. The storm impacts include the direct costs of the minor storms, as well as lower capital spending from these events, which translate into lower capitalized labor and AFUDC. In the fourth quarter of 2018, these related costs also included a CAIDI penalty in New York and the exceedance of a minor storm threshold in Maine, which together was a $0.02 negative impact. Going back now to other drivers within Networks, the remaining impacts that reduced the benefit of higher rates included higher depreciation due to new investments and a shift from Corporate to Networks of New York capital base tax charge. At the consolidated Avangrid level, this New York capital base tax charges of $0.01 negative impact to both 2018 and 2017 earnings, however, the movements between Corporate and Networks in 2018 for this item are causing a $0.03 negative impact to Networks and a positive $0.03 to Corporate for the quarter, along with a $0.04 shift for the full year-over-year comparison. In addition, there were energy efficiency performance incentives earned in 2017 that expired and those were not replaced with an earnings adjustment mechanism in 2018, which resulted in a decline for the quarter-over-quarter and year-over-year comparisons of $0.03. Now turning to Slide 21. Our Renewables segment achieved quarter-over-quarter and year-over-year improvement. Performance for the fourth quarter was a positive $0.10 per share year-over-year improvement, with earnings from our new wind capacity added in 2017 and 2018 contributing $0.03. Earnings from our existing resources were up $0.01 per share, driven largely by the sale of our second smaller claims from the First Energy Solutions bankruptcy, net of the impact of selling power from these wind farms with the lower merchant prices. Wind production quarter-over-quarter was lower for existing assets of approximately 9% and that was primarily in the Mid-Continent. As we noted last quarter, we continue to look for value-added opportunities to optimize our pipeline, including the sale of assets in the development stage. In the third quarter, we sold a transmission queue position that added approximately $4 million after tax or $0.01 per share. And in the fourth quarter, as Jim mentioned, we earned $0.02 from the sale of 80% of our Coyote Ridge wind project to WEC Group. Other minor impacts related to PTCs, RECs and earnings in our thermal and trading business, which includes our climate flow generation and peaking plants. Our 2018 year-over-year performance was positive $0.21 per share, and that largely reflects similar impacts for the quarter. New capacity contributed $0.06 per share year-over-year. Wind performance at our existing facilities was relatively flat compared to last year, although it was lower than our expectations for normal wind by approximately $0.10 on the year. In addition, our results for new wind and solar included negative $0.05 per share impact from the transmission issues that we had with El Cabo and Tule wind farms in the second quarter. The full year-over-year impacts of existing wind also include positive First Energy Solutions bankruptcy impacts of $0.04 and that consists of $0.06 from the sale of two claims and receipt of collateral, less $0.02 in lower gross margins from selling this output into the merchant market. Now turning to Slide 22, we take a look at the Corporate segment. This is largely driven by financing costs and taxes. At the Corporate segment, adjusted earnings per share was lower $0.07 for the fourth quarter of 2018 versus 2017 and lower $0.13 for the full year of 2018 versus 2017. These declines are largely driven by a large positive state tax adjustment that we incurred in the fourth quarter of 2017, and this was not as large in 2018. In addition, the Corporate segment reflects higher financing costs from the issuance of our green bond in November of 2017 and also the absence of intercompany interest income from the gas businesses that we exited earlier this year. The overall Avangrid consolidated effective tax rate for 2018, before discrete items, was approximately 17.1% on both a GAAP and adjusted basis. And then after discrete items, the consolidated effective tax rate was 22.2% on a GAAP basis and 13.8% on an adjusted basis. Moving to Slide 23, which shows our cash flows for 2018, with cash from operations which covered our investment needs by $227 million. We paid $537 million in external dividends and then we raised approximately $307 million in debt and other financing to cover the net need. Now moving to Slide 24, which shows our strong financial position, which gives us the flexibility to fund our growth, including the New England clean energy projects that Jim mentioned. Those were the New England Clean Energy Connect transmission project and Vineyard Wind partnership for offshore wind as well as ongoing safety, reliability and resiliency investment opportunities. Our debt level net of cash at the end of 2018 was $6.4 billion and our credit metrics remained very strong, we’re at 3.2 times net debt to adjusted EBITDA, 29% leverage, and 22% cash from operations before working capital, as a percentage of debt. Our credit metrics are certainly very important to us and we’ve maintained our stable BBB plus and BAA1 ratings with the rating agencies. On Slide 25, we highlight our dividend and dividend policy. In the third quarter of 2018, we increased the quarterly dividend from $0.432 per share to $0.44 per share. We also retained our target payout ratio of 65% to 75%, and we expect future increases of that to be in line with our EPS growth, subject to this target payout range. Finally on Slide 26, as Jim mentioned earlier, we’re setting our consolidated earnings outlook for 2019 to $2.25 to $2.40 per share on an adjusted basis. When we set this guidance, we’ve considered the effects of the recent years of wind performance as well as the 2018 storm impacts that Jim covered earlier. In our Networks business, we’ll benefit from higher rates through our rate plans, but we’ve also conservatively assumed a higher level of minor storms that about half the level that we experienced in 2018. We’re taking steps, as Jim mentioned, to address the impacts of storms on our Networks business, including requesting in rate cases to raise the allowance for minor storms, lowering thresholds for recoverable storms, increasing recovery for staging costs, and implementing our transforming energy resiliency program with vegetation management and resiliency capital spending. However, those impacts won’t be in effect until 2020 and that’s the need for building more conservatism into our 2019 guidance. We’re also assuming in Networks a positive FERC ROE decision in 2019, that’s in line with the most recent order. In Renewables, as Jim mentioned, we’ve revised our methodology for forecasting normal wind to reflect life-to-date performance. This impacts by approximately $0.08 per share negatively our view now on normal wind. The 2019 guidance also reflects estimates of roughly $0.05 per share to $0.10 per share for strategies that optimize our Renewables pipeline through potential asset sales and partnerships. And then also as Jim mentioned earlier, in 2019, we are having a challenging start with our wind resource and weather in Renewables, with production down approximately 12% below our expectations due to wind resource and weather. I’d estimate that’s roughly a $0.02 per share to $0.03 per share impact of the quarter. However, we do expect to overcome that for the full year through the efficiencies from our Forward 2020 plus plan and the efforts in that area. We do assume in our guidance the consolidated Avangrid effective tax rate before discrete items of approximately 20%. Now moving to Slide 27, we conclude with some highlights for our company. We highlight our attractive investment opportunities in our Networks business and our Renewables business, winning key awards in two major RFPs and moving forward on track with these New England Clean Energy projects. With our access to three leases now, we’re a leader in the US offshore wind business. And we also want to emphasize our leading role in the US as a sustainable energy company, having the first carbon neutral energy target, which we’re committed to achieve by 2035. We have a distinctively strong balance sheet and solid investment grade credit ratings and we’re committed to increasing our dividend in line with our 65% to 75% target payout ratio. With that, we look forward to seeing everyone at our Investor Day on February 26, at the New York Stock Exchange, and I’ll now hand the call back to Andrew for questions.
Operator: [Operator Instructions] And our first question comes from the line of Praful Mehta with Citigroup. Your line is now open. Our next question comes from the line of Julien Dumoulin-Smith with Bank of America. Your line is now open.
Julien Dumoulin-Smith: Hey, good morning. Can you hear me now?
Jim Torgerson: Yes, we can hear you, Julien.
Doug Stuver: Good morning.
Julien Dumoulin-Smith: Excellent. Good morning. Perhaps just wanted to start off here on the 2019 guidance. Can you walk through a little bit on what your earned ROE expectations are baked into that a little bit by segment? Obviously, you’ve got a number of different moving pieces, rate cases coming this year. And how are you thinking about CMP specifically, given the dynamics there, if we can start there?
Jim Torgerson: CMP, we’re probably not going to have an order until the fourth quarter of 2019. So we have very little in guidance for that, and we’ll be earning basically on the rates we have in place today. For the other ones, I don’t know, Bob, do you want to address what do you think?
Bob Kump: Yes, sure. Julien, good morning. For New York, it’s obviously going to be a very important case that we file for a host of reasons. First of all, we have the resiliency plan, we have AMI, a number of different investment initiatives that we need to get approval for. But importantly, and Jim and Doug both spoke to this. I think what we have experienced over the past year, in calendar year 2018, was truly unprecedented in terms of the frequency of the storms. In addition, I think given the frequency, we’re seeing a heightened sense of – or I should say heightened expectation on the part of our customers, regulators, local community leaders, with regards to the speed at which we restore power. And as Jim touched, this required us to use a lot more in terms of what we call staging costs. Moving folks around, getting our contractors prepared, should a storm occur. And as a result, we had a significant impact of that in 2018, and we would expect until we get those types of costs reflected in the next case, the risk would continue in 2019 and the early part of 2020 in that regard. Now I don’t anticipate, while it is not impossible, I don’t anticipate the level of storms we saw in 2018 and 2019. But there will be a continuing lag associated with that. So that would be the main piece that I would say, would potentially create a drag on our results in New York for calendar year 2019.
Jim Torgerson: I think, Julien, the other areas we’re targeting right now, New York aside, to be looking at earning the allowed returns in our different areas.
Bob Kump: And we’ve been doing that. And historically we’ve done it quite frankly in Maine and New York as well. But given some of the headwinds we’ve seen, 2018 proved to be extremely challenging. Until we get the rate structures aligned to reflect the kind of the new reality on storms and the costs associated with that, it will be difficult to achieve our past performance during 2019.
Julien Dumoulin-Smith: Got it. Excellent. And can I come back to a little bit of the commentary you provided in the prepared remarks on Maine specifically? You said on the CPCN, on NECEC that is in process and settlement discussions are ongoing, can you perhaps elaborate on the process there specifically and the timeline here, or do you think about the Maine Department of Public Service in March and how the timing might align against –? I’ll let you elaborate.
Bob Kump: Yes, yes, sure. So, I mean, we’ve been having discussions for some time and now with many of the parties that are part of the CPCN proceedings. And I think we’ve made good progress in terms of looking at getting broad support for the project. We’re obviously not there yet, we do think that this will continue to be on track for getting our final approval on for the CPCN by the end of March. Obviously, there have been some rumors floating about, as to where we are in discussions, we can’t speak to that, those are confidential discussions. But if and when something is reached, it will be made public at that time. But we, as Jim said in his remarks, we feel good that we’re on track in getting that CPCN by the end of the first quarter of this year.
Julien Dumoulin-Smith: But, sorry to just clarify this, I mean, we are a month out. Just in terms of a process for a vote out, needing that get commentary back on – I just want to understand, even the timeline and process for that to happen by the end of 1Q?
Bob Kump: Yes, so recognize that even while we have had settlement discussions, the litigated timeline has continued. So whether we reach a settlement or not, the timeline is such that its planned for commission deliberations at the end of March. So in one instance, if we’re able to reach a settlement, that would get introduced into proceeding and there’s sufficient time for that to get introduced and decided on, and if not, then the normal litigated track would apply. But again, both of those timelines would result in a decision by the commission by the end of March.
Julien Dumoulin-Smith: Got it. Excellent. And then just going back, sticking with Maine here, I mean how are you thinking about opportunities outside, sort of inorganic opportunities at the utilities, again relative to what seems like and I’d be like some clarity with respect to some of these upgrades that may or may not be fully included in the outlook as it stands today? Just to clarify that piece, too.
Doug Stuver: Maybe if you just clarify beyond NECEC, you said inorganic, what are you focusing –?
Julien Dumoulin-Smith: Specifically utility acquisitions, any latest thoughts on that? Obviously there’s a lot of different developments in the sector. I would be curious on what you all are saying today on that front. And then separately, curious on, you obviously have a lot of different projects moving here. It seems like some of those projects, you discussed in your prepared remarks are not included in your formal rate base guidance at least from last year’s outlook.
Jim Torgerson: Yes. As far as M&A, we don’t comment on that, Julien. I know you know that, so, we can’t comment anything there.
Doug Stuver: I mean, our focus, Julien, in Maine is strictly on a couple of things right now. So, one, obviously, serving the company meeting their – the customers rather meeting their expectations. It’s on getting the approvals for NECEC and it’s on getting through the rate case and the outstanding review of the billing system and getting customers some assurance that they are effective and accurate in terms of the bills that are being produced, which has been shown now by two different audits. But to be very frank, there are still people that don’t believe that, and so as Jim said, the commission is going to investigate it. Further doing audit of the audit, if you would, to just make completely sure of that the system is operating as designed.
Jim Torgerson: The other projects, we mentioned a couple of the lowest in line – those are the things that we’ve got, those are just ongoing typical projects that we would do in any jurisdiction to improve the transmission system and the smart grid. So those are things that are just ongoing all the time.
Bob Kump: And the other projects that we have, that we’ve talked about in the past, that are a little further along. One of them is in process is the MEPCO rebuild. I mean, that’s continuing as we anticipated, as well as Brightline investments, that’s continuing. So, nothing’s really changed in that regard.
Julien Dumoulin-Smith: Thank you. I’ll feed into the queue.
Operator: Thank you. And our next question comes from the line of Praful Mehta with Citi. Your line is now open.
Praful Mehta: Thanks so much and sorry about the confusion earlier.
Jim Torgerson: No problem.
Praful Mehta: So I wanted to just understand on 2019 earnings, you’ve a good slide here on Slide 16, the key risks and opportunities and wanted to understand the $0.08 impact you have already talked about for Renewables on capacity factors. What are the other big drivers on the Network side that could push you to the upper end or lower end of the range that you provided right now?
Jim Torgerson: Well, we gave the $0.08 that pushed the range down, our guidance down frankly, to the $2.25 to $2.44 adjusted. Some of the other areas that we took into consideration, one is as Doug mentioned, just the fact that we are down 12% from weather impacts and Renewables on production already this year through January. So that’s something that we’ve already taken into account. The lean in and staging costs, that Bob and we talked about, those are things that we feel will impact us and we’ve basically taken that into consideration, when we look at how we develop the guidance. So, those are things. Now, the things that could improve wind performance, let’s assume it gets better. So far we haven’t seen that. But if you look at history, there are opportunities for the wind to actually pick up and we could do better. So that could go either way. But to be conservative, we brought it down. So, looking at life-to-date for all of our assets. The other areas, depending on how much we can implement from our Forward 2020 plan that would allow us to get cost efficiencies this year, that would be another one that could be an upside for us. And then with FERC ROE decision, you know, we factored something in for that. We don’t know where that one is going to go, but if it’s along the lines of what the initial decision they put out, that we then briefed, then we would – that’s been factored in, so. I don’t know, I think – Doug any other?
Doug Stuver: No, I think those cover the key points from my point of view, Jim.
Praful Mehta: Okay, great, that’s super helpful. And then the $0.08 impact in 2019, if you had to play that forward through your forecast period, do you expect a change in long-term growth rate views as a part of that reset of capacity factors?
Jim Torgerson: We think that recently the capacity factor is going to be ongoing, it’s going forward. We’ll keep looking at it every year to see if our thoughts change. But right now, I would expect that to be taken forward into our longer-range view.
Praful Mehta: Understood. So, you do expect some impact from it in the long-term view as well?
Jim Torgerson: Yes. Yes, I do.
Praful Mehta: Understood. And then finally on Slide 39, in terms of the PPA pricing and merchant pricing, there seems to be, have been a pickup in merchant pricing in 2018. Is that, can you just touch on that if the particular markets that kind of helped and how do you see that going forward in 2019, what’s kind of built into your 2019 numbers, view on that merchant pricing perspective?
Jim Torgerson: Laura, maybe she wants to comment on that one?
Laura Beane: Yes, sure. Good morning. I mean, everyone I think is clear that gas prices are really what’s driving merchant prices for the most part. And what we experienced in 2018 is some shortages in key areas, which drove really, really high prices in both the North West and also in the Texas area because of some of the capacity scares, with hot temperatures in the summer. And so we have really priced in just what we expect based on the fundamentals. But I will say that gas has been pretty steady along $2.70 per MMBTU and we tend to see upticks, when there are unexpected supply conditions. And so to the extent that we experienced additional shortages in areas this year and we’ve already seen some so far early in January in the West, that we could potentially see some upside in merchant prices, but we have not baked that into the earnings profile for 2019 as of yet.
Praful Mehta: Got you. Well, much appreciated, guys. Thanks so much.
Jim Torgerson: Thanks.
Operator: Thank you. And our next question comes from the line of Greg Gordon with Evercore. Your line is now open.
Phil Covello: Good morning, guys. It’s actually Phil here for Greg. He’s jumped on another call.
Jim Torgerson: Hi, Phil.
Phil Covello: How is it going? So, just a couple of items here. First, how realistic is it for us to assume you will be successful getting a regulatory fix for the storm issues? Are peers in those states lobbying for anything similar or there are other jurisdictions you can point the commissions to that have similar thresholds in the other elements you are requesting. Any color on how receptive the commissions might be to what you are requesting?
Bob Kump: Yes, this is Bob. I think they will be, and I think there’s a recognition that as I mentioned earlier, there is a heightened expectation around the speed of storm restoration and preparedness. That is necessary for storms given the increased frequency we’ve seen. So I don’t, at this point, foresee any issues with regards to getting it right, if you would, in the next case. The issue for us is obviously the next case we filed in the second quarter of this year, and would be effective in May of 2020. So we would continue to be at risk and focus now on New York, to what we experienced in 2018, which was unprecedented, but to some extent in 2019, particularly around staging costs because that is just an expectation that is there. But I do not foresee a problem getting this reflected. We do for example, right now – three years ago when we reached the deal we have now in New York, we were allowed the deferral of some staging costs, basically two instances a year, and at Rochester, three, at NYSEG, so long as staging costs were over $250,000 in those instances. But what we found is there probably was 10 to 12 of those types of storms where we staged but nothing ever materialized for being a very minor storm and the costs weren’t deferrable. So, it’s more updating of assumptions around based upon experience of what we’re going to use for the next three files.
Phil Covello: Got it. Okay, so until that point, before you get a regulatory fix, I mean it sounds like we should think of this as impacting your ability to earn your allowed ROEs in those jurisdictions. But the O&M efficiency, the $0.02 you managed in 2018 that kind of helped to mitigate those uncontrollable items. Should we think of that as indicative of your ability going forward, or do you think you could achieve more significant cost reductions perspective to the extent you have to?
Doug Stuver: Well, I mean, we look at that year-in, year-out. That’s really a part of what our Forward 2020 process is. Jim mentioned, we’re using a third-party now to help us in that regard, as we look at calendar year 2019 and going forward. So from that perspective, I think you’ll continue to see us do well and be as efficient as possible and run the business more efficiently. But some of these costs that we saw particularly in 2018 are at a level where you just realistically cannot find that level of efficiency in the business to offset that.
Jim Torgerson: And I think the costs that we saw, the $0.02 improvement where things, I’ll call around the edges where we cut certain things out. Whereas what we’re looking now in our Forward 2020 is how do we really drive long-term efficiencies into the business when transforming some of the ways we do work. So I would expect that we would see some improvement in that going forward. And that’s really the objective, to get as efficient as we can. We want to be the top tier in the industry on efficiency. And we have all the ways to go to get to that point. So that’s really our goal and so that’s what’s been driving us now to get a third-party to help us with this and work through how do we look at the way we actually operate, the reports we generate, the levels of management, we’re going to be looking at all kinds of things there. So that’s really the objective.
Phil Covello: Okay. And last question. Can you just kind of talk about the growth of the Renewables pipeline versus EEI? It was just a bit hard for me to decide for the delta. But I’m not sure I saw anything meaningful in there?
Jim Torgerson: Yes, well, we have the 4 gigawatts of offshore wind and then 9.8 gigawatts of onshore and solar. The solar is the one that’s grown the most and it also does not include the new lease we have for offshore wind, which would be I guess in our partnership about another 1 gigawatt. So, Laura, can you give them the breakdown between what we added in solar and wind, since EEI?
Laura Beane: You’re absolutely right, Jim. The vast majority of the additions have been on the solar front. And when you say since EEI, are you referring to the pipeline, or are you referring to the PPAs that we announced at EEI?
Jim Torgerson: The pipeline.
Phil Covello: Yes, the pipeline. There was that slide that I don’t see replicated in this one relative to the 2.7-gigawatt target by 2022, I believe it is and…
Laura Beane: Yes, those are PPAs, the 2.7 gigawatts of PPAs.
Phil Covello: Right. So, how does that look today I guess?
Laura Beane: Yes. And so we announced at EEI the addition of the 210 megawatts of solar. And then in Slide 13, you will see that we did sign two additional contracts with NYSERDA for an additional wind project late 2020 and then a solar project, 91 megawatts in 2021. And we are continuing down with the process of PPA negotiations with counterparties. We’ve got numerous projects that are shortlisted. There have been a lot of RFPs in recent months and I can tell you that for the most part, the dates for the final selection continue to get pushed out. And so we are just awaiting the ability to be able to announce projects if and when they come to fruition, but so far since EEI, what we have announced is the two contracts with NYSERDA.
Phil Covello: Okay. I was looking for it. Thanks guys.
Operator: Thank you. And our next question comes from the line of Insoo Kim with Goldman Sachs. Your line is now open.
Insoo Kim: Thank you. Just on the Liberty Wind proposal, I apologize if I’m late to the information, but what’s the anticipated in-service date if that is the winning bid in New York?
Jim Torgerson: I believe, Laura, you can correct me if I am wrong, but I think it’s like 2027.
Laura Beane: Not sure if I think that was redacted in the base. Yes, I think it would be targeting 2026 timeframe likely?
Jim Torgerson: Yes, it’s after 2025, I know that. So it’s later in the decade.
Insoo Kim: Got it. And when you think about the bps that you put in for the three different capacity levels, I assume that you are still sticking with the strategy of trying to achieve around a couple of hundred bps above the cost of capital?
Jim Torgerson: Yes, that is our target. And keep in mind that the cost of capital is reflective of the risks related to an offshore wind project. So it would be higher than that, we’d use for onshore wind or solar.
Insoo Kim: Understood. And then on the capacity factor, I recognize the adjustments you’ve made on the methodology. In terms of the new wind capacity factors, for I guess the newer wind facility that are coming online, I know the previous guidance was around 40% for the capacity factor. Is that something you’re able to say whether you’re confirming or should we just wait until next week?
Jim Torgerson: Laura, do you want to –?
Laura Beane: Yes. Most of the reductions that were required were on what we were considering our existing fleet. And that was the fleet that had been added up through 2015. The newer facilities are a higher capacity factor, just simply because of the technology. And of course, we do have such a diverse footprint of operation. You’re going to see lower capacity factors even for new facilities in the North West for instance, but you’re going to see much higher capacity factors for facilities in the Midwest. So I think the average for the new is going to be right around what we had been communicating, where you’re really seeing the life-to-date adjustments is on what we are considering to be existing.
Insoo Kim: Understood.
Jim Torgerson: So we’re still working on the new stuff, mainly around 40%. We’ll give you a little bit more detail on that next week.
Insoo Kim: Got it. I’ll save the rest of the questions for next week. Thank you very much.
Jim Torgerson: Sure.
Operator: Thank you. And our next question comes from the line of Michael Sullivan with Wolfe Research. Your line is now open.
Michael Sullivan: Yes, hi guys, good morning.
Jim Torgerson: Hi, Michael.
Michael Sullivan: So, yes, I just wanted to start with, I know you laid out kind of a lot of the drivers in 2018 and then also in 2019 guidance. But can you just give us a sense of what you would consider the normalized 2018 number, and then how much of some of those headwinds we would expect to reverse in 2019 and then in 2020, just if we can put some numbers and cadence around that?
Doug Stuver: This is the Doug. In terms of 2018, I think Jim called out in one of those slides the specific items versus expectations, minor storms, lack of EAM, sale of development projects, et cetera. I think specific to those, the normal wind resource, the minus $0.10, we certainly hope never to repeat that outcome again, but we have adjusted our guidance in 2019 to address that by $0.08 per share. Specific to the minor storms, I mentioned earlier that we think of that more as roughly half of what we experienced in 2018, on a recurring basis in 2019. And as we have the ability to adjust our recovery process, we hope to see that impact diminishing and eventually go away. On the development projects on Slide 7, we do anticipate in 2019 to be selling further development projects and that has a roughly $0.05 to $0.10 opportunity built into our guidance. The transmission issues, obviously, that was hopefully one-time event. So I don’t expect further downside impacts in that category. And then on the O&M efficiencies, we think there is good opportunity there incremental to what we’ve done in 2018. So there is some degree of improvement versus 2018 that we’re assuming in our 2019 guidance. As far as EAM, we’re not assuming anything in 2019 for that. I think more just to be conservative and if we have success there, certainly that would be an upside, but that’s not part of the base guidance.
Jim Torgerson: EAM, we won’t see that until 2020.
Doug Stuver: Yes, mid 2020.
Jim Torgerson: Yes.
Michael Sullivan: Okay, thanks. And maybe can you just give any more color on the Forward 2020 initiative? It sounds like what you’re saying is you are able to offset the Renewables weather impact to date of $0.02 to $0.03, but how much are you baking in for the full year?
Jim Torgerson: What I think Doug was saying is, over the course of the year we think we would offset of the $0.02 to $0.03 that we’re seeing in the first month of the year for Renewables. We haven’t really given the number for the efficiencies, because we just started the project with our third-party. So I don’t have a number yet that I could give you, but suffice to say, we expect to see some benefits from that project. That will probably be more than the $0.02 we saw.
Michael Sullivan: Okay. And then last one, I know you’re going to get into this probably a little more next week, but I just want to clarify, when you guys reiterate your long-term growth rates, which we did as of EEI, when you’re doing that, is that just kind of going back to when you first put that out there, or are you kind of actively refreshing and looking at the plan on sort of an ongoing basis such that as of November, you still did think those growth rates were good. And if so, what’s really changed since then outside of the Renewables capacity factor assumptions?
Jim Torgerson: When we put that out like at EEI, we take a look at it, but we don’t – that was really the number we had done as of February 20 of 2018, so it was a year ago. We kind of look at it, but it’s as of that date, as of February. It wasn’t that we renewed it, we do it once a year a long-term look, which is what we’ll be doing for next week and looking at our long-term growth prospects. So, I mean we think about it, but I can’t say that we – in EEI, we did not actually do anything other than, say, as of one from the Investor Day in February of 2018.
Michael Sullivan: Okay. Thank you.
Operator: Thank you. And our next question comes from the line of Paul Patterson with Glenrock. Your line is now open.
Paul Patterson: Hey, good morning.
Jim Torgerson: Hi, Paul.
Paul Patterson: Just a few quick – sort of quick ones, with respect to the auction in New England and the failure to get appropriate results there for you guys, and given sort of Chatterjee’s previous indications about price suppression from Renewables in the sense that was at least attributed to – what do you guys think about in terms of how should we think about your ability to clear the auctions for Vineyard Wind et cetera and the impact on the economics of the project?
Jim Torgerson: I think longer-term, we will clear the auction, it’s just a matter of when. We’re pursuing what I would consider our rights under the Federal Power Act right now and we will be pursuing whatever we need to, to make sure we get into the auction appropriately. But I believe that we ultimately will succeed in getting the capacity, whether it’s the first year, or the second year, it will have somewhat minor impact, but long term, when we are looking at projects, it is going to be there for 40 years, let’s say, 20 years for sure on the contract that I think will be successful.
Paul Patterson: Okay. So the idea that. I guess was when you say the second year, under the current rules et cetera, would there need to be an additional waiver or how should we think about in terms of the process for the FCA 14 I guess and –?
Jim Torgerson: So, we did get – yes, go ahead.
Paul Patterson: No. please go ahead.
Jim Torgerson: Well, we got 54 megawatts; unfortunately, we bid it at zero, which is what you would expect for the replacement auction. So that’s not going to help a lot. Going forward, we will expect to get – either we have to get a waiver. And now, we will work with ISO New England and the other is to see if we are going to avoid that process to have to have a waiver and because they did approve the change in the tariffs that allowed us to get into the auction. So, they were looking for us to get a waiver. So, we’re working with them on that. Laura, do you want to add anything there?
Laura Beane: Yes. I mean I guess I will just reiterate that it’s becoming very clear; I think that rate payers are going to pay more, because Vineyard Wind was not able to participate fully in the market in the capacity auction and it was really from our perspective, a technicality that caused that. There was no rejection of our eligibility and so we are going to continue to pursue that. We think it makes sense and we think it makes sense for rate payers and we’re exploring all avenues available to us to see if we can make that right.
Paul Patterson: And I understand your guys position and the logic of a completely – but I guess the concern is that you’re going to have a Republican majority it seems eventually, I don’t know how many months now and it appears that there was this impact because it was sort of two-two vote – sort of reading the tea leaves and such statements that were made and I guess the idea is that if there is a position that there is this price suppression issue, you know I’m talking about, whether or not these guys might try to basically change the original outcome of the ruling that they made, in other words the Chatterjee dissent [ph] starts to actually show up as an actual policy, if you follow what I am saying.
Jim Torgerson: Yes, I do. As I said, we will pursue our rights under the Federal Power Act and we will keep working on this one.
Paul Patterson: Okay. I understand – you coming from. And then just with the average life to date and I’m sorry if I missed this, this was asked just now. When you mentioned the new capacity factor, you said that was for existing stuff. And that new stuff I think was more around the 40% capacity factor. Did I hear you correctly? Could you just elaborate a little bit on that and how that compares with your offshore expectations?
Jim Torgerson: Yes, the capacity factor for new onshore, it varies obviously site-by-site, but generally it’s around 40% I think is the way to look at it. And the offshore is actually better than that. Laura, I know, we’ve said it’s around 50%, it’s kind of the…
Laura Beane: I think, yes, for Vineyard specifically, I think it’s been in the range of approximately 50%.
Paul Patterson: Okay. And that hasn’t changed at all, it’s just the existing, if I understood correctly, the existing facilities that you guys have changed the average life?
Laura Beane: Right.
Paul Patterson: Right. Capacity factor, I apologize. And then in terms of firm EPC, potential EPC on offshore wind, where do we stand with that?
Jim Torgerson: I think, I said there is like seven packages that we have for all the different components, whether it’s the turbines, the foundations, the transmissions, whatever. They’re all in advanced stages of work right now and we feel pretty good about being able to get that done in a very timely fashion and lock in the prices and all the different suppliers. So, it is not one EPC, I’d characterize it, there’s seven different ones that we’re working with.
Paul Patterson: Okay. And you guys are looking to firm those up to sort of for risk mitigation purposes, do I understand that correctly?
Jim Torgerson: Yes. We already have a contract for the Vestas turbines. And we have a preferred supplier for the offshore substation already. So those are two of the bigger components that are already taken care of.
Paul Patterson: Okay. I mean, it’s sort of just the actual construction of the facility, in terms of just getting it – I guess in terms of not just the components, but the actual setup itself.
Jim Torgerson: Well , that all goes into these seven packages that we have. Some of that, it’s the logistics, it’s the shipping, it’s the ships, and how the construction will be done, and so on. So what I’m saying is all those things are in an advanced stage right now of negotiations that we expect to conclude pretty soon.
Operator: Thank you. And ladies and gentlemen, that does conclude our question-and-answer session for today. So with that, I’d like to turn the call back over to CEO, Mr. James Torgerson for closing remarks.
Jim Torgerson: Well, thank you very much. As you can see, we’re actually very happy about where we’re at with our strategic plan, being able to implement that and going forward, and we’ll be talking to you next week at our Investor Day about what we see for the future. So look forward to seeing you all next week and thank you for participating today.
Operator: Thank you for participating in today’s conference. This does conclude the program and you may all disconnect. Everyone, have a wonderful day.